Executives: Renée McKenzie - Treasurer Rick O’Dell - President & CEO Jim Darby - VP, Finance & CFO 
Analyst: Tom Albrecht Ed Wolfe Art Hatfield - Morgan Keegan David Ross  Jack Waldo Jason Seidl Neal Deaton  
Operator: Good morning my name is Katelyn and I will be your conference operator today. At this time I would like to welcome everyone to the fourth quarter release conference call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks there will be a question-and-answer session. (Operator Instructions). Thank you. Ms. Renée McKenzie you may begin your conference.
Renée McKenzie: Thank you Katelyn. Good morning. Welcome to Saia’s Fourth Quarter and 2009 conference call. Hosting this morning’s call are Rick O’Dell, Saia’s President and Chief Executive Officer and Jim Darby, our Vice President, Finance and Chief Financial Officer. Before we begin, you should know that during this call we may make some forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements and all other statements that might be made on this call that are not historical facts are subject to a number of risks and uncertainties, and actual results may differ materially. We refer you to our press release and our most recent SEC filings for more information on the exact risk factors that could cause actual results to differ. Now, I would like to turn the call over to Rick O’Dell.
Rick O’Dell: Good morning and thank you for joining us to discuss Saia’s results. 2009 proved to be a more difficult year than any of us would have expected although I am not pleased with our absolute results the company did produce noteworthy performances in a number of areas including service, market share gains and cost reductions. I remain confident that Saia the country’s fifth largest non-union LTL carrier with a solid balance sheet is well positioned to drive on the industry dynamics do improve.  For clarity all of our comments are based on results from continuing operations. Saia’s fourth quarter revenue was $202 million which was a decrease of 12% from prior year quarter. Our operating loss was $3.6 million with a loss per share of $0.31. A few additional fourth quarter statistics would include operating ratio was $101.8 compared to $97.7 last year excluding the non-cash impairment charge. LTL tons for workday decreased 4.4%. LTL shipments were down 5.5%. LTL yield decreased 8.8% primarily due to continued price competition and a reduced fuel surcharge. Our results remain affected by one of the worst economic and shipping environments in decades. In spite of major cost reductions that provided partial offset our margins were negatively impacted by lower volumes and a significant year-over-year decline in yield. It is noteworthy that we improved in all of our service and key cost metrics, city productivity, dock productivity, loan average and office productivity over prior year in spite of loss of density benefits caused by reduced bill count.  We believe these cost impairments will be sustained when volumes recover which provides an opportunity for solid margin contributions in the future. I am pleased with the continued commitment demonstrated by our employees as we are produced record productivity and our 97.4% on time service for the quarter remains best in class. Saia has been named the 2009 Silver team award recipient by Lowe’s companies. This is the tenth consecutive year Saia has been recognized by Lowe’s.  For the full year of 2009 Saia’s revenue from continuing operations was $849 million which is a decrease of 18% from the prior year. Despite the difficult economic conditions overall we did experience volume growth in our newer regions due to additional synergy to and from our expanded geography and our strong service offerings.  Our 2009 results include our losses per share were $0.67 compared to $1.48 including the impairment charge. Our LTL tonnage per work day decreased 5.6%. Our LTL yield decreased 11.8% which again includes the impact of lower fuel surcharge as well as continued pricing pressure and our operating ratio was 100.4 versus 97.5 in the prior year excluding the impact of the impairment charge.  Again this year our balance sheet improved with the reduction and total debt of $46 million. During 2009 we continued to focus on our strategy of building density, customer satisfaction, cost reductions supported by engineered process improvement and effective balance sheet management.  While absolute profitability deteriorated due to difficult environment. Our underlying execution on all service and key cost metrics improved significantly. Of summary the 2009 results include 97.2% on time service performance, our load average improved over 1%, our P&D productivity was up slightly in spite of 4% less shipments and reduced bills for pick up.  Our dock productivity was up 9%. Our office productivity was up 29% and our total turnover cost for bill improved by 7%. Our salary headcount was also down 10%. We believe our demonstrated ability to execute on critical initiatives will allow us to continue to navigate through the challenging environment.  During 2009 we outlined several engineered cost initiatives with targeted savings designed to improve our operating performance and enhance service. These projects benefited Saia in 2009 and provided partial offset to the very difficult volume and pricing environment. For 2010 we have another set of engineer initiative designed to support our service and cost reduction efforts targeting approximately $6 million in annualized savings.  A brief summary of these projects our continued use of field engineers to support terminal optimization, city driver, routing and sequencing software to minimize drive time and miles, our automated time clocks and real time productivity and dynamic load planning to optimize our line haul with actual tonnage.  We believe our capability to achieve cost reductions combined with our market share initiatives to increase density will enhance Saia’s competitive positions and our margins in the future. While the near term economic environment remains challenging, I believe we are well positioned to address the demands and potential opportunities of 2010. I would like to have Jim Darby review our fourth quarter results.
Jim Darby: Thanks Rick and good morning everyone. As Rick mentioned in the fourth quarter 2009 loss per share was $0.31 compared to $2.09 per share last year. All comparisons to prior year fourth quarter are versus results from continuing operations for that period. For the quarter revenues were $202 million with an operating loss of $3.6 million.  This compares to prior year revenue of $231 million and a reported operating loss of $30.2 million including a non-cash goodwill impairment charge of $35.5 million which had a negative impact on earnings per share of approximately $2.19 after taxes. The LTL yield for the fourth quarter 2009 was significantly impacted by the continued over capacity in the industry resulting in extremely competitive pricing.  The yield was also impacted by lower fuel surcharge. We’ve realized that the current environment requires that we continue to align cost both fixed and variable with reductions in volume. Over the course of the last year, we have focused on the productivity initiative that Rick covered and reduced both salaried and hourly headcounts accordingly.  As we mentioned in our guidance in December, fourth quarter results have been adversely impacted by higher health care and worker’s compensation expense. The rising cost of health care increased expenses by $2.6 million versus the prior year quarter. Worker’s compensation expense remained high, virtually matching the fourth quarter 2008 level despite the 10% reduction in headcounts from last year.  The fourth quarter 2009 did benefit from an approximately $3.9 million reduction in expense related to the change in vacation policy which was announced earlier in the year. For modeling purposes this will return to a more normal run rate in 2010. For 2009 losses per share were $0.67 from continuing operations compared to the $1.48 per share last year which included the non-cash impairment charge.  For the year revenues were $849 million with operating loss of $3.7 million. Our effective tax rate was 41.5% for the quarter with the full year 2009 at 42.2%. For 2010 we expect our effective tax rate to be approximately 38.5%. At December 31, 2009 total debt was $90 million. Net of the company’s $8.7 million cash balance, net debt to capital was 28.6%.  This compares to total debt of $136.4 million and net debt to capital of 37.3% at December 31, 2008. Our net capital expenditures for 2009 were $8 million. This compares to $26 million in the prior year. The company is planning net capital expenditures in 2010 in the range of $10 million.  Planned 2010 expenditures are based on the uncertain economic environment but will be adequate to support our long term goal and ongoing investments in technology and engineered processes. The amount of capital expenditures for revenue equipment will be reevaluated when tonnage improves.  As we mentioned previously we issued an additional 2.3 million shares of common stock which were sold to certain qualified institutional buyers in private places. The net proceeds of approximately $25.1 million were used to prepay our regular rescheduled 2010 principal and interest payment.  Simultaneous with the offering we amended our revolving credit agreement and senior notes agreement to provide additional covenant release through the first quarter of 2011. Also, a quick comment about discontinued operations in the quarter we recorded gains of $1.2 million net of the tax effect or $0.08 per share as discontinued ops to adjust the liabilities from indemnification obligation related to the 2006 sale of a former subsidiary. Now I would like to turn the call back to Rick.
Rick O’Dell: Thank you Jim. Well Saia brand continues to strengthen due to our comprehensive marketing a broad footprint which is attractive to customers and our relentless commitment to service. During the year we demonstrated our ability to execute prudent cost reduction initiatives, supported by engineered process improvements and technology.  We believe our ability to execute on critical initiatives will allow us to navigate due to this prolonged challenging environment. We feel that our strong brand and our continued commitment to service customers efficiently through this difficult period provides a solid foundation for long term profitable growth and increase shareholder and customer value when the industry dynamics do improve.  With these comments we are now ready to answer your questions. Operator? Do we have an operator?
Operator: (Operator Instructions) There are no questions at this time.
Rick O’Dell: It is pretty had to imagine I think you might check and see if we are having some technology problems or something. Seeing any questions yet?
Operator: Yes I do, the first question is from the line Tom Albrecht. Your line is open.
Tom Albrecht: I wanted to ask you, its come up in a lot of the conference calls and basically nobody really knows the answer to this but what are your thoughts on the pricing environment perhaps stabilizing as we move through the next three, four or five months. We know there is a little bit of a bid season, its not as heavy as truck load we know a couple of folks have backed-off their predatory pricing. But a lot of the industry still has quite a bit of unused network capacity. What are you seeing now and more importantly what is your crystal ball, what's in your guide as you look out the next four or five months relative to pricing?
Rick O’Dell: Well I guess yields stabilized in the fourth quarter at Saia and we have been taking a firmer stance on pricing, start in the second half of last and we saw some results from that. Our January yield excluding fuel surcharge which we have adjusted for mix is actually up slightly from where it was three months ago in October.  This is the first time that I can make a statement like that over the past 18 months. We do believe we have lost some share due to our firmer stance I know particularly early in the fourth quarter when one of our major competitors implemented some very aggressive pricing actions and you saw that reflected in some of our tonnage numbers and our general rate increased will be effective on February 1 and we expect initial impact of that for us to be 4.8% on the GRI on approximately 30% of our business.  So we did take some lane adjustments which are less than the average increase on our general rate increase also and I guess ultimately we will see whether that how the rates hold like say we all know there is over capacity in the industry, at the same time we are all doing things to gain efficiency. But, you run out of those after a while and we can’t continue that rates go down with the industry margins operating where they are. So we are taking it from our stance on pricing.
Tom Albrecht: And I am not sure if I missed this or if you just didn’t give it. Did you give the monthly tonnage, October, November, December and how is January progressing?
Jim Darby: No, I didn’t Tom but I will be glad to tell you what it is. As we went through the quarter you can see overall the LTL tonnage is down 4.4% for the quarter but as we went through the quarter it improved actually it was down in October 7.3% in November it was down 4.5% and in December it was down 0.8% and so far in January the LTL tonnage is running up about 2% year-over-year.
Tom Albrecht: And I know we have talked about this before, but I forgot what your answer is. As you major two things, one available network capacity and available people capacity. What's your estimate of how much increase in business you can hand on without further investment?
Rick O’Dell: Yeah then that was probably 15 to 20 and I guess the people I mean the thing there is that in the near term you can step up your hours and there are some opportunities to outsource in certain areas so probably in the 8% range 8 to 10.
Tom Albrecht: And then lastly as business is modestly improving is it pretty much across the board or is it more retail consumer more industrial is there any pattern yet that has emerged?
Rick O’Dell: Yeah I think it’s difficult to say I think some of the big box retailers are starting to see things go slightly positive I guess on a sequential basis but year-over-year still you are looking particularly good at this point in time. So and I haven’t seen anyone that’s overly encouraged from that perspective and then the rest of our customer base quite frankly its such a broad diverse group that is difficult to see I guess for us that per mid west is special and the most favorable tonnage and shipment comparisons and I think a lot of that is just because we were less mature up there and we continue to strengthen our brand and probably take share there more than in some other areas where we already had a stronger presence and then South Texas where we have always been strong in the oil field business is down pretty significantly with the year-over-year decline in oil prices.
Tom Albrecht: Okay and Jim did you give length for haul?
Jim Darby: I didn’t comment, I can give you that as well too. The actual number for fourth quarter is $717, that’s up 3.6% from a year ago and I would tell you over the course of the quarter it was about the same and it’s pretty much flattened out third and fourth quarter. So we ended up fourth at $717.
Tom Albrecht: Okay and what was Q4, 08 and the transition I don’t have all the numbers I used to.
Renée McKenzie: Tom in the essence of time, can we go ahead and move on and may be we can come back and address that for you please?
Tom Albrecht: Sure.
Renée McKenzie: Operator the next caller please.
Operator: Your next question comes from the line of Ed Wolfe. Your line is open.
Ed Wolfe: Jim you gave the tonnage by month do you have that for yields by month?
Jim Darby: No I don’t.
Ed Wolfe: Okay, directionally you said January it feels like the yield net of fuel and price is up more than it was in October, is it year-over-year how does that look?
Rick O’Dell: I guess the comment we made yeah, versus October it’s adjusted for mix its up about, it’s actually up about 2 to 3 tenths of a percent. So our yield is actually up in January, over where it was three months ago on a sequential basis. If you take that again that same number kind of adjusted for mix take the comment we made last quarter as we were running down it’s a theoretical model but I will call it 4% to 5%. Year-over-year and so while we’ve sequentially we saw call it two to three tenths of a point improvement, it kind of stabilized and gotten better it hasn’t continued to go down but obviously the accumulative effect of what happened through the prior nine to 12 months is significant.
Ed Wolfe : Sure but it’s also significant seasonally that October should be better than January and January is better than October.
Rick O’Dell: I think its right so good early sign anyway, right.
Ed Wolfe : Yeah, so if you go into this and you think you are going to get 30% could get 4.8 that would be 1.4, 1.5 obviously last year everybody asked for more than that and didn’t get anything so are you feeling pretty is it your intention to that 30% immediately you get the full 4.8 and we should start to see that improvement?
Rick O’Dell: That’s sort of like the plan, I think there are may be some tonnage loss if other people continue to be aggressive in the marketplace but again I mean our position is that the rates clearly can’t continue to go down and we need to make some headway to get them going in the different direction. That’s not only with the general rate increase but it applies contract renewals as well.
Ed Wolfe : It makes sense, we’ve seen this on the ocean side where there’s still extra capacity but rates started to go up finally. Can you take us through a little bit for 2010 interest expense and depreciation expense as you see it there are some moving parts here?
Jim Darby: I would say I would expect it to model close to where we were for this past year our debt levels will be down but we have some amortization of some fees that we will expense over the course of the year so I would expect it to model close to what it did over 2009.
Ed Wolfe : That’s for interest expense?
Jim Darby: That’s for interest expense.
Ed Wolfe: So, around $12 million? It’s around $12 million and fairly evenly?
Jim Darby: Fairly yes I would say so. The interest portion will be down Ed but amortization and fees will be up a little bit.
Ed Wolfe : Okay so when we add it all up, give or take $3 million a quarter and then on depreciation side directionally with not having spent much CapEx does that start to come down?
Jim Darby: It would be down a little bit, yes. And that’s what we have seen as we have gone through this year and I think you can trend that on out.
Ed Wolfe : Yeah assuming that you stick to the current plan of give or take $10 million in CapEx this year what is that you are putting off and when things do get better where should we expect the need to spend and where does CapEx go to say in ’11 and ’12 how do we think about that?
Rick O’Dell: I mean I think your replacement cycle is probably a normal replacement cycle will probably approximate depreciation.
Jim Darby: Around 40.
Rick O’Dell: So it will be about 40 and then I think one issue you have is if you are growing your fleet right we buy that and put in the line of operation and you end up with some incremental step down, so if you are growing more may be your replacement cycle can actually come down a little bit.
Ed Wolfe: Okay but just say that there is not a lot of growth, you are going to go for growth through utilization of what you have with the modeling for 11 be above $40 million if the world is normal because there’s some make up in addition or do you feel like you are within your normal cycle still?
Jim Darby: It would step up a little bit as we would add in some more revenue equipment which we backed off the last couple of years.
Ed Wolfe : And just directionally does the double the 40 or is it?
Jim Darby: No. 
Rick O’Dell: What we intend to do is take some of the what you have done a deferral for a couple of years you take that at an average of that over say three years. Right so 40 might be 50 but its not going to be 80.
Ed Wolfe : Okay last one I will let someone else have it, normally first quarter is a seasonally weaker quarter than the fourth but you’ve talked about your tonnage is better now, pricing directionally has come up a little bit, is it possibly your OR could actually be better in the first quarter and the fourth quarter?
Rick O’Dell: I think here is the way to kind of think about the quarter. Excluding last year, our first quarter OR is usually about a point worse, right? So, but if you go back to those quarters when you look at it historically we usually had a wage increase in December which was about one operating point and that’s not going to take place.  So, you know may be its flat and then the other issue we have is, we will have the reinstatement of our vacation accruals which is about a point and half. And so after that I guess you can assume that we will be aggressive with cost and I think as you pointed out may be the biggest factor is whether the improvement in yield is sustainable in the market place and what impact that as on our volumes. 
Ed Wolfe: And a good February 1 can be for you with the GRI guess?
Operator: Your next question comes from the lines of Art Hatfield from Morgan Keegan. Your line is open. 
Art Hatfield - Morgan Keegan: Good morning, Rick, Jim and Renée. Just a kind of follow-up on what Ed was talking about as we go through 2010 and let’s assume that may be we are heading somewhat of an inflection here may be things start to get little bit. What are some of the operating cost headwinds that you will have some of the things that your employees have given you or you got some employees on wage concessions and other things that you will want to give back to them at some point?
Rick O’Dell: Well, clearly we want to give those things back and we would like to achieve the results that allows us to fund that and we certainly will work toward that in 2010 and beyond and I guess the commitment we have made to our employees is that we need to see a 95 operating ratio for a couple of quarters before we would be able to restore wages and benefits. 
Art Hatfield - Morgan Keegan: Can you run through those things for me again real quick that was it a 10% wage concession?
Rick O’Dell: It was 10% for the leadership group and 5% for the employee group and then there is a (401-K) match that was 3%. Those are the major items. 
Jim Darby: Art the dollar amounts related to the wage concession that 5% for the overall grew 10% for leadership team is about $4.5 million a quarter, that’s what it was through 2009 and the (401-K), the elimination of the match on the (401-K) was about a $1.5 million a quarter. 
Art Hatfield - Morgan Keegan: Those are the only potential headwinds as you get to that 95 for better OR?
Rick O’Dell: Yeah, again we have to achieve that and sustain that for a couple of quarters before we are going to just turn around and go the other direction. 
Art Hatfield - Morgan Keegan: I just want to make sure that I understand what are the potential things out there as you get to that point?
Rick O’Dell: I think the other comment is based on how we are operating, what our outlook is? I mean they may be faced back in and it doesn’t mean you are, if you get a 95 OR odd for two quarters and put all those costs back in and its over three operating points takes you right back to 98, we want to do that until we see some what our actual results are and how we are operating right?
Art Hatfield - Morgan Keegan: Right, that’s helpful and that’s all I got today. 
Operator: Your next question comes from the line of David Ross. Your line is open. 
David Ross : Question on the insurance and claims line items it seems to be finally little bit better than expected. Can you talk a little bit about I guess whether that’s just your safety program paying off or whether you had any one time year end adjustments there and what the sustainable level of that line might be?
Jim Darby: Yeah, the big pieces in there Dave are the BIPD following during property damage and we had a little bit favorable severity compared year-over-year in that area. 
Rick O’Dell: And frequency. 
Jim Darby: And frequency apparently. So and the second piece is the cargo claims has been there that we have had very good success with what we call our DBE program or deliveries before exception. Where we have eliminated exceptions and surround our process and as that DBE ratio goes up, the cargo claims have down and we benefited from that for the last couple of quarters. So those two things combined are what makes that claims in insurance line go down. 
David Ross : So all else equal, there is nothing that should prevent you guys from having at least $6 million run rate per quarter in that line. Obviously there is going to be fluctuations. 
Jim Darby: Well, the fluctuations that you could have with an accident but otherwise I think that’s pretty close. 
Rick O’Dell: I would say that we are confident in our ability to maintain some of the progress we made on a cargo side because we made some significant process changes and again some material headway there as Jim had commented. Even if we do make progress with continued progress on the frequency side of accidents we do have some volatility with severity.  While the quarter was much better I mean year-to-date we had a worse severity year than we did in the prior year even though our frequency was better. 
David Ross : Okay, that’s helpful. Also given the reduced volumes, can you talk about any network changes you may have done I know it's the number of terminals doesn’t change too much. Are you switching anything around how the freights being routed, I guess kind of flexible you have been through down turn try to manage that?
Rick O’Dell: Yeah, a little over a year ago I guess we took some smaller terminals out and expanded coverage from some from surrounding areas. We feel like our terminal network certainly has a value in the market place and well we haven’t made any material changes there.  Now from a routing standpoint we were always looking for opportunities to make improvements in our line haul network and our routing optimizations. Yeah, that’s an ongoing effort and I think it’s given the negative tonnage year-over-year tonnage status that we had to get significant that we actually improved load average in spite of that. So, I think what we are trying to see is we made some good progress year-over-year particularly in our break to break load average.  And capacity utilization there as you lose some density from your surrounding regional terminals that’s more difficult to take out significant there with less schedules. And you got to make meet your service requirements. 
David Ross : Yeah, I understand and then last question with employees and the press release you said yes 7200 there now. How many were there a year ago into the fourth quarter '08?
Jim Darby: I don’t have that exact number in front of me, Dave. But we are down about 10% overall.
David Ross :  Okay, so that 8,000.
Renée McKenzie: I will get back with you on that. 
David Ross : Great. 
Jim Darby: It was going down through the quarter. 
Operator: Your next question comes from the line of Jack Waldo. Your line is open. 
Jack Waldo: Why don’t we get back to the question on OR a little bit more? And just kind of look at the model? One thing can you talk a little bit about your insurance experience? It looks to me $2.7 million below well it kind of in the average for the last couple of years and when you talk about the sequential change in OR between the fourth quarter and the first quarter is that just a number that we should assume?
Jim Darby: The claim in the insurance line?
Jack Waldo: Yes, sir. 
Jim Darby: Right, then we covered that. That’s really made up at the BIPD and the cargo and we have achieved some very nice gains in our process to keep cargo claims down, the only thing that could make it fluctuate would be severity movement and BIPD portion of that. But that’s a pretty much run rate. 
Jack Waldo: Okay. It makes sense. And then did you say it was $3.9 billion benefit for the vacation accrual? 
Jim Darby: It was. In the fourth quarter yes. And we expect going forward as Rick pointed out we expect it’s probably an add back of about $3 million a quarter going forward into 2010. 
Jack Waldo: So, just to summarize on the LLC you are optimistic that it can at least be where it was in the fourth quarter. If these types of trend continue. 
Rick O’Dell: That’s what really we said I think if you take where we were all right and you add 1.5 for the vacation it’s going to be in there. I mean that really puts you at lets say 101.5 add a 1.5 you are at the 103 range. 
Jack Waldo: And everything from there is contingent on what happens on normal things?
Rick O’Dell: I think that’s right. I think that’s fair. 
Jack Waldo: And then last question have you seen any freight divergence you might have gotten from a competitor in the fourth quarter? You have seen it going back at all?
Rick O’Dell: Our numbers actually from a sequential basis, actually improved as we commented improve in January of where we were in December. So, we have not seen that, I think especially with large customers when they go make a change, they make driving changes in their system and that commitment to you over a period of time, somewhat difficult for them to go back, its not that they wouldn’t but I don’t think you are seeing an immediate change. 
Operator: Your next question comes from the line of Jason Seidl. Your line is open.
Jason Seidl: I want to go back on the pricing side but forget about sequentially or year-over-year Rick what does it need to go up to be at a compensatory level for you guys, what percent from here.
Rick O’Dell: By compensatory level meaning well you want a mandatory operating ratio? 
Jason Seidl: Well after you invest your business with good returns, yeah.
Rick O’Dell: Yeah. I think you know to give back the good returns I think you are going to most likely see some combination of some volume increases with the portion of that clearly goes to bottom line on an incremental basis and then we need to see some true yield improvements in every 1% yield improvement should be 1% on the operating ratio right. So I mean technically if you look at this we are at a 100 operating ratio for the last year and you head back the vacation which is non-recurring you know you are in the neighborhood of 101 to 102. So you can just do the math and see what you need to get back to get some returns that are reasonable.
Jason Seidl: That’s fair enough. Also on the GRIs a lot of carriers have already implemented them in January, can you walk us through the decision to implement it in February?
Rick O’Dell: Yeah, I think obviously while we saw some rate stability in the fourth quarter at Saia we lost the market share with that and we think that some people are still being aggressive in the marketplace and our decision was quite frankly just to see what actions others took and make sure that our decision was well thought out and we could go through a good implementation and give our make sure we gave our customers appropriate notice and rationale for that and not just turn around and toss in something because everyone else did I know you know last year everyone took January rate increases and they weren’t sustained at all.  So I guess our decision was try a little more conservative than what we have done in the past but its certainly where it appeared to be prudent in this environment to kind of wait and see and implement something that’s sustainable as more important I think than the timing particularly talking about couple of weeks.
Jason Seidl: That makes sense. That’s good color. Listen I appreciate the time as always guys.
Operator: Your final question comes from the line of Neal Deaton. Your line is open.
Neal Deaton: Just one quick question for you I know you touched on sort of the expected tax rate and some of those things but for the share count in the first quarter you’ve obviously added the 2.3 million shares from the private placement and you always said it fluctuates some based on whether you are in a loss situation or profitable, is $15.6 million a good number to use for the first quarter?
Jim Darby: That’s about right. You add on the $2.3 million on top of that and it will cause some dilution going forward. But that’s about right.
Neal Deaton: Okay I just wanted to just kind of verify that. Had you not done the offering it would have been probably 13.3 or so.
Jim Darby: Yeah, that’s about right.
Neal Deaton: Okay, just wanted to verify that.
Jim Darby: You got it.
Neal Deaton: That’s all I got. Everybody else covered everything. Thank you.
Operator: There are no further questions at this time.
Rick O’Dell: Thank you for your interest in Saia. We appreciate it.
Operator: This concludes today’s conference call. You may now disconnect.